Operator: Good morning, ladies and gentlemen, and welcome to ACCIONA’s Results Presentation for the First Quarter of 2021. Access to this presentation and the information contained herein is limited to persons, who are resident and physically present in Spain and certain authorized persons, who are resident and physically present in other jurisdictions outside of the United States, Canada, Australia, South Africa and Japan. If you are present in the United States, Canada, Australia, South Africa and Japan, or you are present outside of those jurisdictions but are not authorized to access this information pursuant to applicable securities laws, we regret to inform you that due to regulatory restrictions, your access to this information is restricted. ACCIONA assumes no responsibility for any violation of applicable law and regulations by any person, who gains undue access to this presentation and the related information. We will do our best to answer your questions in the Q&A session following the presentation. And I apologize for any questions that may not be answered due to legal restrictions or lack of time. Jose Angel Tejero, our Chief Financial and Sustainability Officer, will be presenting today. Let me hand the floor to Jose Angel. Jose Angel, when you are ready.
Jose Angel Tejero: Thank you, Pepe. Good morning, everyone. I would like to start this presentation with a review of the key highlights for the first quarter of 2021. Overall, we have had a strong start of the year with significant growth in Energy and stable operating performance in the Infrastructure business. In Energy, we have installed 390 megawatts in the quarter. We have 280 megawatts under construction and will start the construction of an additional 1.6 gigawatts in the coming months. This provides with great visibility with respect to our scheduled capacity additions for the coming years. The Infrastructure business has performed relatively well, and it is good to see it converging towards pre-COVID operational levels. In terms of new project awards, we have had another good quarter, and we are maintaining our very high project backlog. The first quarter of 2021 has concentrated a significant portion of the investment scheduled for the year, which we said could potentially go up to €2 billion in the context of the ongoing activities towards the IPO of ACCIONA Energia, which is on track for completion in the first semester. During Q1, the cash outflow related to investments has amounted to a record of €950 million, which compares to just €322 million investment in Q1 2020. This €950 million includes €470 million related to our CapEx management to control net debt in the COVID context last year and is consistent with our strategy, offsetting the company on the path for future growth. Considering the quarterly results that we are presenting today, we believe that the group EBITDA has a potential to grow to somewhat beyond the higher end of the 10% to 15% range we set at as 2021 outlook at our 2020 results presentation. The preparation for ACCIONA Energia to become an independent company with low-levered capital structure has already begun. During the first quarter, we have implemented the capitalization of a large portion of intragroup loans, approx €1.8 billion, which results in an initial capital structure that we think is for ACCIONA Energia to deliver its capital investment program and maintain an investment-grade credit profile. In the ACCIONA Energia Capital Markets Day later today, we will be providing you with further info. The IPO will also contribute to deleveraging the overall ACCIONA Group, not only giving us the ability to significantly accelerate the rate of investment in renewals but also give us the capacity and financial flexibility to support the attractive growth opportunity in our non-energy sustainable infrastructure businesses. In Slide 4, we present the key financial highlights for the first quarter of 2021. As you can see, revenues grew by 5% to €1,710 million, with 20% growth in Energy due to international business and 4.5% growth in Infrastructure. EBITDA grew by 11% to €362 million, with Energy increasing by 22% and Infrastructure remaining largely stable, despite the sale of Spanish concessions in December 2020. Earnings before tax, before our share of Nordex results, amount to €149 million, 16% higher than the first quarter of 2020, and attributable net profits reaches €97 million, a 24% increase. Net financial debt stands at €5.8 billion relative to €5.6 billion a year ago. Relative to December 2020, net debt has increased by just over €1 billion, given the concentration of CapEx in Q1 with net investment cash flow of €950 million. In Slide 5, we provide a detail on the investment by division, mostly in Energy, which attracted €160 million in total. Moving on to Slide 6. We explain the last cash flow items that explain the evolution of the net debt during the quarter. I would highlight the seasonal working capital outflow of €290 million at similar levels as in the same period last year and following an extremely positive last quarter of 2020. Net investment of €950 million already mentioned includes €64 million of increase in property development inventories. Going to Slide 7, the Energy business shows a very strong growth in EBITDA, reaching €297 million, up to 22% year-on-year, driven by the international generation business, which has benefited from new assets in operation and very favorable prices in Q1. Starting with production. Output increased by 5.9% on the back of new capacity. Otherwise, the output on the existing portfolio was flattish with 12% higher output in Spain and a similar decline in international output. We have had a weak production, particularly in Mexico and the U.S. EBITDA in Spain fell by 15% despite the higher wholesale power prices and better production. Wholesale power prices in Spain were, on average, €45.2 megawatt hour relative to €34.9 megawatt hour a year ago, which already started reflecting the impact of COVID. Despite the higher wholesale prices – power prices, ACCIONA Energia average achieved prices fell by 11% to €57.7 megawatt hour due to the combined effect of the regulatory banding mechanism and the difference in the prices at which we hedged this year compared to last year. This offset the positive impact of higher output. Also, last year, we had a positive one-off at EBITDA level through the equity accounted contribution. This effect was linked to the reversal of the impairment of the Spanish assets as a result of the extension of accounting useful life. With respect to money and hedging impacts last year, we had an €18 megawatt hour uplift from the banding mechanism, given the €48 megawatt hour floor implied by the bands and extremely low prices expected at the time for the year as a whole and which turned out to be quite accurate. This year, given the expectation as of the end of March of €55.6 megawatt hour for the year as a whole, we did not account for any banding mechanism uplift to the €46 megawatt hour floor. We have captured €40 megawatt hour wholesale price in this regulated portfolio for the first quarter. In terms of hedging, last year, we had locked in prices in the low 50s, reflecting the prevailing forward prices in 2019. And in Q1 2021, our hedge prices are in the low to mid-40s. Nevertheless, power prices are currently very strong, which imply positive headwind for our Spanish generation business for the year as a whole despite the somewhat an intuitive impact in Q1. Outside of Spain, the international business increased its EBITDA by €70 million to €203 million. That is an increase of – 53% increase. This is due to new international capacity in operation, which has benefited from very strong wholesale prices in Q1 in the U.S. market. With respect to the existing portfolio, output was particularly weak in Mexico and the U.S. due to several additional factors, which largely offset the better prices. In Slide 8, we show the capacity that was added in Q1 and what it is under construction as of March 2021, which will be completed by year-end to meet our 999-megawatt scheduled capacity addition for the year. In coming months, we will start the construction of an additional 1.6 gigawatts of new capacity, which, in our view, gives good visibility to our capacity addition plans for the coming years. In Slide 9, we show that our capacity as of March reached the 11 gigawatts mark. We expect to reach 11.3 gigawatts of total capacity by year-end, with total capacity addition of 0.6 gigawatts for the entire year, of which we have already delivered 50% of this target. These new assets will contribute further output and EBITDA. We think 2021 is going to be a better year for the Energy division that we initially expected due to the strong start of the year and the high power price expectations in the Spanish market, as you can see in the slide. Spanish prices are currently very strong on the back of high gas prices, record high carbon prices and recovering energy demand. Expectations for the average price for 2021 imply an increase of more than 50% relative to last year’s depressed COVID-related power prices. The Infrastructure business increased its revenues by 4.5%, and EBITDA was stable at €60 million. Construction saw marginally increasing revenues to almost €700 million in the quarter, which is below the run rate we expect for the rest of the year. EBITDA stayed at €25 million with 3.6% margin and is, in our view, converging towards pre-COVID levels. We expect the Construction business to gather momentum as the year advances, particularly in our Australian business, and as the Line 6 project, Sao Paulo builds up. Concessions sees a decline in EBITDA, driven by the exit from our perimeter of the Spanish concession portfolio we agreed to sell in December. The Water business shows a strong EBITDA growth, given the higher levels of activity and slightly higher margins, as we reach final stages in some key desalination projects in the Middle East. The level of activity of the EPC Water business has been strong during the first quarter and, in our view, is that – it will be the same way for the rest of the year. We have reorganized and restructured the Services businesses, some of which we saw as less aligned in our strategy, namely facility services and airport handling, and which actually suffered acutely, the worst of the pandemic. We have reallocated these businesses as well as for our strategic electric mobility businesses outside of the Infra division in order to reduce structural cost, improved performance in the facility services and handling and enhance the focus on our growing mobility activities. However, environmental services have remained within Infrastructure as this business is aligned within – with our sustainable infrastructure strategy, have value-added and can be scalable within the Infra business. Our project backlog stays at just over €12 billion, which is a very strong level on historical standards and should support strong growth in revenues. Spain represents close to €2 billion of the backlog; Australia, €2.2 billion, our largest international market; and Brazil with the Line 6 project, representing €1.7 billion of backlog. Other large markets includes Canada with €1.5 billion; Poland, €900 million; Norway and Saudi Arabia with around €600 million each. Q1 has been a successful quarter on additions with the Tren Maya in Mexico and a good package of new contracts in Spain, amounting to €360 million. Moving to our Property Development business. Revenues and EBITDA declined in the first quarter of 2021 due to the lower numbers of deliveries of residential units in the period. 26 housing units were delivered between January and March 2021 compared to 130 in the first quarter of 2020. This has been mostly due to the delay in the granting of the first occupancy permit of the Costa Marina development, which was obtained in April, which would have otherwise doubled our units in the first quarter. For the full year, we expect to deliver approximately 400 housing units altogether. Our estimated gross asset value stands at €1.1 billion, which includes four activities. We have a Land Bank to develop 5,000 units, equivalent to a plus five years of deliveries. These units will be put into the market through a combination of traditional retail housing development activity and through the more wholesale distribution to build-to-rent for institutional investors. We have already 1,000 units under development in Madrid and Catalonia. We are also developing for third parties, offices and logistics developments with 90,000square meters already under construction. We are also looking for opportunities in the urban regeneration market and creating new destinations and mixed-use developments. In Slide 13, we see that Bestinver revenues and EBITDA remained relatively stable at €26 million and €12 million, respectively, while assets under management increased by €529 million in the quarter to €6.9 billion. The average fee for the period stood at 1.46% relative to 1.51% for 2020 as a whole, with the weight of equities relatively stable at 82% of total asset under management. To conclude the presentation, I just wanted to reiterate that we are starting the year on a very strong footing, with a very good quarter in Energy and stability in Infrastructure with a market that seems to be recovering from COVID. The outlook for the year as a whole is now more upbeat. Energy business has had a strong Q1, and the higher Spanish price environment for the rest of the year suggest that Energy will perform a strong year. Group-wise, our 10% to 15% initial EBITDA growth for the group appears now to be – in our view, to be more conservative at this stage. I also wanted to stress again that CapEx is highly concentrated in the first quarter, so that extrapolation should not be done with this number. We continue to see total investment in the year in the region of the €2 billion. And finally, with respect to the IPO process, we remain committed and very excited about the opportunity to present to the market ACCIONA Energia as a stand-alone pure-play renewal energy leader with 30 years of history and determined to be one of the winners in this huge growth opportunity that lies ahead, driven by decarbonization. And with that, let me start with the Q&A session.
Operator: [Operator Instructions] Our first question comes from Alberto Gandolfi from Goldman Sachs. Your line is now open.
Alberto Gandolfi: Thank you. Good morning for taking my question. I’ll stick to the 2-rule. Can I ask a little bit more details about the first quarter benefit from power prices in the U.S. as you have commented? So is that really the main driver for the strong growth in international? And I guess the different way to ask for it would be, if it is the U.S., was that Texas? And can you maybe elaborate on the €1 million increase in EBITDA in Q1 international for the Energy business that came from power price and maybe the increase in EBITDA international in Energy that came from capacity additions? And the second question is a little bit more on Spain. I mean I couldn’t help noticing that power prices in the past eight weeks have gone up by about €10 per megawatt hour, we get EUR 5 megawatt hour per week, so – per month. So I guess the question would be, can you give us, for Spain, and maybe looking at the entire portfolio as well, how many terawatt hour are exposed to merchant which could be within the bands in Spain, it could be purely merchant? So I’m trying to figure out very accurate sensitivity to the recent increase in power prices. Thank you.
Jose Angel Tejero: Thank you, Alberto. And there are many questions. I’ll try to follow the same path that you have a question. On the international prices, it is true. The increase in EBITDA in international has been driven by strong behavior in international prices, in particular in the U.S. The way we see it is that we have been able in a very challenging environment operate our facilities in a way that other players have not been able to do it. I mean I don’t want to be more specific or I cannot be more specific on the exact impact, facility-by-facility. But we think that what we have done is a very good management on the operating side and also on the energy management on those facilities in the Texas area. Yes. Just to make clear, in – it has not been only price, we have also put into operation new capacity in the United States that have contributed to that increase in EBITDA.
Operator: Our next question Alvaro Navarro from Mirabaud. Please limit to few questions. Your line is now open.
Alvaro Navarro: Hi, good morning.
Jose Angel Tejero: On the Spanish market, on pure wholesale merchant, our production and hedge is 2.2 to 2 terawatts. Our hedge portion is around 2 terawatts, and the regulated portion is around 5.6 terawatts. Next question, please.
Operator: Yes, Alvaro. You please continue.
Alvaro Navarro: Yes. Good morning. Thank you for taking my question. I have seen that EBITDA in Energy has been excellent this quarter, but you also have pointed out in the presentation that according to forward prices in Spain, the expectations for the whole year are much higher. And also, I hope that you are expecting to recover production – international production, mainly in the U.S. So do you think that Energy EBITDA around €300 million per quarter could be extrapolated for the whole year? Thank you.
Jose Angel Tejero: I think that production will come into normal levels for the coming quarters. I think that a full extrapolation, it’s – it may be a little bit aggressive, but what we think is going to be strong – the behavior of the fair assumption, it would be that we’re going to have a strong behavior of the rest of the business for the – I mean of the rest of the Energy business for the rest of the year, taking into account what you just mentioned, of a strong baseline on power prices in Spain.
Alvaro Navarro: Okay. But could you be more specific? Do you think that according to expected production, because you are going to have around 8% to 9% higher capacity installed this year. So that means a higher production for the next quarters. So – and prices are – in Spain are 64% up year-on-year. So maybe it’s not very aggressive.
Jose Angel Tejero: Well, taking into consideration that, I mean, your assumption is fair probably on a full year basis. But if you take into consideration that the additional capacity is going to be added during the year, and the prices are going – are growing for three quarters. Just on a mathematical basis, multiply the core EBITDA by 4, it’s – it will be a little bit up, but – I mean, on what we see. But nevertheless, we still see a very strong – remaining three quarters on the back of new capacity on the normalized production and on the strong base price that we are currently seeing in the market.
Operator: [Operator Instructions] We have no further questions. I’ll hand it back over to the management team.
Unidentified Company Representative: Well, thank you. If we don’t have any further questions, we finish the session here. Thank you very much, everyone, for joining us. And see you next time in the near future. Thank you.